Operator: Good morning, and welcome to the Second Quarter 2012 Conference Call for Old Dominion Freight Line. Today's call is being recorded and will be available for replay beginning today and through August 17 by dialing (719) 457-0820. The replay passcode is 9068412. The replay may also be accessed through August 17 at the company's website.
 This conference call may contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995, including statements, among others, regarding Old Dominion's expected financial and operating performance. For this purpose, any statements made during this call that are not statements of historical fact may be deemed to be forward-looking statements. Without limiting the foregoing, the words believes, anticipates, plans, expects and similar expressions are intended to identify forward-looking statements. You are hereby cautioned that these statements may be affected by the important factors, among others, set forth in Old Dominion's filings with the Securities and Exchange Commission, and in this morning's news release. And consequently, actual operations and results may differ materially from the results discussed in the forward-looking statements. The company undertakes no obligation to update publicly any forward-looking statements whether as a result of new information, future events or otherwise. [Operator Instructions] Thank you for your cooperation.
 At this time, for opening remarks, I'd like to turn the conference over to the company's Executive Chairman, Mr. Earl Congdon. Please go ahead, sir. 
Earl Congdon: Good morning. Thanks for joining us today for our second quarter conference call. With me is David Congdon, Old Dominion's President and CEO; and Wes Frye, the company's CFO. After some brief remarks, we'll be glad to take your questions.
 I am very pleased to report another quarter of strong operating and financial results for Old Dominion. We again produced several new company records, including the highest revenues, earnings and profit margins ever. In fact, our research indicates that our operating ratio of 84.7 for the quarter is the best any public LTL company with national coverage has produced over the past 20 years. Our results, once more, demonstrate that despite a somewhat softer economic environment during the second quarter, Old Dominion has continued to outperform the LTL industry, both in terms of revenue growth and increased market share, as well as in setting the industry standard for service, productivity and efficiency. We believe both our performance and strong competitive position are attributable to our industry-leading service at a fair and equitable price.
 The strength and longevity of our performance and market positioning reflect our structural advantages as a fully integrated company, offering comprehensive regional, interregional, national and international services through one organization. They reflect decades of substantial and continuing investment in technology, infrastructure and capacity, that has enabled us to keep our promise of on-time, claims-free service throughout the economic cycle. And they reflect a fundamental commitment by our entire OD family to delivering this value proposition over the long-term, which has supported the yield discipline necessary to provide the highest quality services. We believe our momentum will drive further growth in revenues and earnings for 2012, and that the experienced and motivated people that comprise the OD family, combined with our proven business model will continue long-term growth in earnings and shareholder value.
 Thank you, again, for being with us today and for your interest in Old Dominion. And now, here's David Congdon, to discuss our second quarter operations in more detail. 
David Congdon: Thank you, Earl, and good morning. Old Dominion's outstanding results for the second quarter were highlighted by the 180 year-over-year basis-point improvement to achieve our 84.7 operating ratio. This level of profitability was driven by continued long-term focus on our well-established core business principles and strategies.
 Among these, our service center density increased with solid tonnage growth of 9% in a quarter with seasonally stronger volume. Our tonnage growth was slightly below earlier expectations, reflecting, we believe, some softening in the economic environment during the quarter. Our revenue yield improvement however, at 4.1%, excluding fuel surcharge, was above expectations.
 In addition to the revenue and margin benefit of a good mixture of tonnage growth and improved revenue yield, we continued to deliver exceptional service to our customers. For the second quarter, we again produced on-time service of 99% on tight standards, which we believe will lead the LTL industry. We also achieved a 17% improvement in our cargo claim ratio to set a new Old Dominion record of 0.38% of revenue, which we also believe is one of the best in our industry.
 Improved results across all 4 of our primary productivity metrics contributed further to our historic operating ratio. 
 For the second quarter, pickup in delivery shipments and stops per hour increased respectively, 1.1% and 1.3%. Platform pounds per hour increased 4.1% and linehaul latent load average improved 4/10 of 1%.
 With the consistency demonstrated by our team in delivering industry-leading service, we are confident in our ability to continue winning market share throughout 2012 and beyond. We expect increased density, supported by rational pricing environment, to produce additional leverage of our substantial and continuing investment in our infrastructure. 
 On a longer-term basis, we expect to continue our investments to maintain optimal equipment capacity for organic and/or consolidation growth opportunities. We plan to continue to refine and enhance the services we provide to our customers, including our value-added services.
 As mentioned in the release, we opened one new service center in the second quarter, and 3 thus far in the third quarter, giving us a total of 218 service centers. We target the addition of another 30-plus centers over time, as well as the continued expansion of existing service centers operating at high capacity utilization as appropriate real estate opportunities become available.
 The confidence we have in our short and long-term growth prospects reflects our long record of strong strategic execution and industry outperformance. With the operating momentum demonstrated quarter after quarter by our OD family, and with our strong financial position, we believe we can continue this performance.
 Thank you for being with us today. And now, I'll ask Wes to review our financial results for the second quarter in greater detail. 
J. Frye: Thank you, David, and good morning. Old Dominion's revenue for the second quarter increased 12.8% from the second quarter last year to $541.5 million. For the first time, we have exceeded the $0.5 billion milestone for quarterly revenues.
 With a company record operating ratio of 84.7 for the quarter, our earnings per diluted share increased 20.3% to $0.83 for the second quarter this year, from $0.69 for the same period of 2011.
 The growth in revenues reflect a 9% comparable quarter increase in tonnage and a 3.4% increase in revenue per hundredweight. Our tonnage growth was comprised of an 8.6% increase in shipments, and a 0.4% increase in weight per shipment. This was our second consecutive comparable quarter increase in weight per shipment, following 4 consecutive quarters of reductions.
 Sequentially, throughout the second quarter, tonnage growth per day was 9.6% for April, 8.7% for May and 8.9% for June compared to the prior year periods.
 The second quarter as a whole was slightly below the 10-year average sequential increase from the first quarter. Tonnage growth per day for July increased 8.8% compared with July of 2011, and we currently expect tonnage to increase in a 6% to 7% range year-over-year for the third quarter, taking into account that the current third quarter has one less working day compared to the third quarter of last year.
 On a per day basis, this equates to approximately 7.5% to 8% increase for the quarter. Comparisons for August and September become more difficult with monthly increases for July, August and September of 2011 versus 2010, up 7.9%, 10.3% and 10.6%, respectively.
 The 180 basis-point improvement in Old Dominion's comparable quarter operating ratio for the second quarter reflects improved yield and density, as well as productivity. Revenue per hundredweight, excluding fuel surcharge, increased 4.1% for the second quarter despite the 0.4% increase in weight per shipment and the 1.4% decline in our average length of haul. Considering these changes, we believe actual yield improvement is more in the range of 4.5% to 5%. We expect our revenue per hundredweight, excluding fuel surcharge, to increase year-over-year in the range of 3.5% to 4% for the third quarter.
 Revenue per hundredweight for July, excluding fuel surcharge, was up approximately 3.5%. Density, as measured by revenue, excluding fuel surcharge and shipments per service center, were up year-over-year by 12.7% and 7.8%, respectively, even as we added service centers during the 12-month period. And lastly, direct labor and operating expenses, excluding fuel expense, improved 50 basis points due to an improved late load average, pickup and delivery shipments and stops per hour, and platform pounds per man hour.
 Fuel expense, as a percent of revenue was, 150 basis points lower in the second quarter of 2011 compared to the same quarter -- excuse me, 2012, compared to the same quarter last year. However, only 20 basis points or 15% of the reduction was due to the lower Department of Transportation average cost of fuel. The remaining 130 basis-point reduction was due to an improved revenue yield, a lower increase in company miles relative to volume as a result of improved late load average, P&D [ph] stops per hour and miles per stop, a 2.3% improvement in miles per gallon, and more efficient fuel-purchasing initiatives.
 Capital expenditures for the second quarter were $120.6 million and $211 million year-to-date. We continue to expect total CapEx for 2012 to be in the range of $300 million to $350 million, including real estate expenditures of $90 million to $120 million, equipment expenditures of $195 million to $210 million, and technology expenditures of $15 million to $20 million.
 For 2012, we expect to continue funding much of these expenditures through cash flow in our available borrowing capacity.
 Total debt to total capitalization improved to 22.3% at June of 2012, from 22.5% at the end of the first quarter and 23.9% at the end of 2011.
 With full implementation of our existing CapEx planned for 2012, which is subject to the availability and timing of real estate, we currently expect our total debt to total capitalization to remain below 25% at the end of this year.
 Our effective tax rate for the second quarter of 2012 was 39.5% compared with 35.3% for the second quarter of last year, which benefited from propane tax credits. We anticipate an effective tax rate of 39.5% for the remainder of 2012.
 And this concludes our prepared remarks this morning. And operator, we'll be happy to open the floor to any questions at this time. 
Operator: [Operator Instructions] And we'll take the first question of the day, from Tom Wadewitz with JPMorgan. 
Thomas Wadewitz: Let's see -- can you give us a thought on what the mix of growth looked like in terms of long-haul, interregional and regional? 
J. Frye: Yes. It was pretty -- it was fairly equal, Tom, across the board. We had a good growth both in the regional business, as well as the long-haul business. The mix, it didn't change a lot, to tell the truth, in terms of shipments. It stayed about the same. So that indicates that the growth was pretty much the same as well. 
Thomas Wadewitz: Okay. All right. And I mean, your guidance seems to be, I guess, it indicates your stability in tonnage. I guess you got some effects from the comps, but maybe you can give us some more thoughts on where you might be seeing a little bit of weakness or how material that is, whether it's areas of the country or the type of customer base? And how much rift do you think there is that you see a further deceleration in the third quarter? The guidance doesn't really seem to imply a very material economic weakness looking forward, so some more thoughts on that. 
David Congdon: Tom, this is David Congdon. In looking at our nonoperating regions of the country, we're seeing a pretty strong growth across all of the regions. No major weakness. All of our communications with customers indicate that -- are not indicative of any weakness in any particular part of the country. Our guidance for tonnage growth reflects our differentiated position compared, obviously, to the rest of our industry, where we're able to continue to grow our market share, and we're not vulnerable to economic conditions like the rest of the industry. 
J. Frye: The guidance, Tom, reflects a sequential tonnage growth in the third quarter compared to the fourth quarter, just -- maybe just ever so slightly below a 10-year average, but pretty much on that. 
Thomas Wadewitz: Okay. I mean, are there any verticals that look different or it's pretty much you're just seeing -- I guess you should just see a good outlook? 
David Congdon: We see a stable outlook. You know, we read all of the economic reports like everyone else, and the economy did clearly slow down a bit in the second quarter, and I think the prospects for the rest of the year is it we're somewhat stuck in a slow growth mode, economically speaking. So that's the way we see the economy. But we're just different than the rest of our industry peer group, that we are winning market share with our superior service promise. 
Operator: The next question comes from David Ross with Stifel, Nicolaus. 
David Ross: Can you talk a little bit about your GRI that was just implemented, the 4.9%, a couple percent below most of the peers. Is that attracting more customers to your tariff? And I know you had a similar strategy last year, is that one of the reasons for the market share gains? 
David Congdon: It's too early to tell on that. And it might have helped us that -- it probably helped us retain a little bit of our 559 tariff business last year. We saw a little bit less deterioration than is normally happening with those type tariffs in this environment. 
David Ross: And then a little bit about capacity. You said in the last call that Chicago was one of the biggest capacity constraints. We're getting permits to build a new facility in that area. I hope that it can complete an upgrade and move in there in September. Is that on track? Or it that still a capacity issue? 
David Congdon: Yes. That's not on track for September. We actually had a few other -- a couple of other opportunities arise that with some facilities that have now fallen through and we're back on track to building the facility out there in West Chicago. But it will not be -- it's not under construction quite yet. 
David Ross: Is not going to have any negative impact on margins in the near term before that constraint is relieved? 
David Congdon: No. We're operating just fine out there. 
Operator: We'll now go to Christian Wetherbee with Citi. 
Seth Lowry: This is Seth Lowry in for Chris. If I can start it off with your tonnage forecast for the -- the third quarter and your yield forecast for this third quarter, does that assume the length of haul, weight per shipment and density metrics? Are those expected to trend flattish or any changes in any of those 3 metrics that we should be aware of? 
J. Frye: They are expected to trend about the same, which as you know our length of haul has been down in the 1% to 2% range, and our weight per shipment has been up slightly in the last 2 quarters, so it kind of continues that trend. 
Seth Lowry: Okay. And then more generally speaking, I think the industry has been a bit more committed to putting through pricing increases, but as tonnage has fallen off -- as we progressed into July and these first 2 days of August, have you seen any signs of the industry getting a bit more competitive on pricing? Do you see any cracks anywhere? 
David Congdon: No. 
Seth Lowry: Okay. And then lastly, I know there's been some moving parts within salaries, wages and benefits, particularly with healthcare costs, is there any abnormalities we should be aware of going into the third quarter? Any large claims expected or any other catch-up in costs? 
David Congdon: We're very stable in the area of cargo claims. Were you talking about cargo or health claims? 
Seth Lowry: Health. Health claims. 
David Congdon: Health claims. It's pretty stable there, and no major blips. We do give a general pay increase, the first Friday in September. That's been our practice over the years. We're not in a position to tell you the percentage on this call because it has not been announced internally. 
Operator: We'll now go to William Greene with Morgan Stanley. 
William Greene: I wanted to just ask about some seasonality. If we look at the third quarter, relative to the second quarter, obviously I realize you've got some tougher comps. But is there anything from a seasonal perspective either on the cost side, or whatnot, that would affect the way margins would move? Because typically, I think there's sort of flattish and given the great performance you had in the second quarter, I'm not sure that, that can continue if you have a slowing economy. Just any color on that will be helpful. 
J. Frye: Well, our margins in the third quarter compared to the second quarter, if you look at it historically, it actually kind of averages to flattish. But the range of those margins are going anywhere from the third quarter being 2 or 3 percentage points higher, to 1 or 2 percentage points lower. So there's nothing at this point to expect it to be out of that range. 
William Greene: Okay. That makes sense. There's a -- the 1 fewer operating day, will that matter for the margin? 
J. Frye: Well, I mean, 1 day makes about a 1.5 percentage points difference in the revenue level. So to the extent that, that is not there to cover what will be fixed cost makes something of a difference, yes, compared to the third quarter of last year. 
William Greene: Right. Right. Okay. No, that makes sense. And then if you look at sort of your long-term goals, I think it's -- you've ducked [ph] for that $3 billion number. Is the fact that these tougher comps on the tonnage you're sort of -- you're seeing them now in the third quarter. Should we think about kind of, as you get toward that $3 billion that an increasing percentage of that will need to come more from price and less from tonnage growth? Just the law of large numbers? 
J. Frye: Well, our pricing in getting there, assuming that a disciplined pricing that kind of corresponds to a GDP growth of 2% to 3% is our, kind of our assumption in here. Obviously, that $3 billion doesn't assume that there's another economic downturn as we saw in 2008 and 2009, with a lot of price competition. But that goal is assuming that the economy stays stable, and discipline in price remains at the forefront as well. 
Operator: And next is Scott Group with Wolfe Trahan. I'm sorry, it's actually Todd Fowler with KeyBanc. 
Todd Fowler: Just a question on the incremental margins. They were very strong here in the quarter, and your tonnage was good and pricing was good, but you had quarters where it's obviously been higher, incremental margins haven't been as strong. As you think about the incremental margins, is that a function of building some density in some of the less mature markets? Or do you look at it as the efficiency gains that you've had? I guess, how do you think about the strength of the incremental margins here and the opportunity that you have going forward? 
David Congdon: Todd, this is David. Obviously, density across our network contributes to that. But also the good -- you have to have a good yield environment, which we believe we have now. And we believe that this good yield environment will stay with us, going forward, not only this year but into the years to come, so long as there's not another recession nor amnesia by some of the industry peer group. But the third element that is contributing to our incremental margins is continued improvements in our productivity and our other operating efficiencies. And while we stay on track in all 4 of those areas, we should be able to continue to deliver strong incremental margins, whether they can be up in the mid 20 -- mid to high 20s like we saw. What was it this time, Wes? 
J. Frye: 29%. 
David Congdon: 29%. That's pretty strong. But we should continue to have strong incremental margins if those 4 elements that contribute to it for us to stay true. 
Todd Fowler: Okay, that's helpful. And that makes sense. And then Wes, can you remind us where you're at, as far as the fleet replacement from a CapEx standpoint? And I guess what I'm thinking about, going into 2013, I know that real estate can be a variable, but what would you look at for, kind of a normalized CapEx on the fleet side, or on the rolling stock side? And then what would you be thinking about for growth? 
J. Frye: Well, we don't give guidance of growth, but for just a replacement of equipment, probably a fleet replacement is in the range of $100 million to $125 million to $130 million, just to maintain our -- what we consider our optimal equipment age. 
Todd Fowler: Okay, got it. And then just the last one that I had, kind of along the same lines. Do you have a number of -- and I know that you've had some more terminals come in to the network, but just from looking at the number of doors, maybe on a year-over-year basis, because I know there's also been some trade-up for you, expanded certain facilities. Do you have a comparison of doors, year-over-year, just to get a sense of terminal counts? One way to think about capacity, but I guess a sense of the doors would help us as well for how much you've grown the network from a capacity standpoint? 
J. Frye: Our number of doors without giving the numbers, we haven't disclosed the numbers, but our number of doors increased about 5% to 6% quarter-over-quarter. And that's obviously with additional service centers but most of that is coming from the expansion of existing service centers. 
Operator: We'll now go to Tom Albrecht with BB&T. 
Thomas Albrecht: First, one clarification, and then a follow-up question. David or Wes, one of you gave the P&D stops and the P&D shipments, could you repeat that figures -- those figures, please? 
J. Frye: The -- let me get this right here. The P&D shipments per hour, were up 1.1%, and the stops per hour increased 1.3%. 
Thomas Albrecht: Okay. And just on your guidance on a per day basis, I know it's 7.5% to 8.5%, it seems like that maybe does reflect the more tepid economic environment than people are thinking about, because your comps in the second half of last year got to be a little bit easier. You had 14% to 20% months in the first half of '11, and then you're kind of 8% to 10%, 10.5%, in the second half of last year. So I just wanted to explore, is it that your growth rate is slowing a little bit? Or are you just allowing more for what you've seen in the economy and offering that 7.5% to 8.5% versus slightly easier year-over-year comps? 
J. Frye: Yes, I think it's the latter, to some extent, as David had mentioned in his comments, in our view, we did see or felt the effects of some softening in the second quarter and that was probably the biggest reason why our tonnage growth of 9% didn't quite meet the range of the 9.5%. And that's already -- I had already mentioned the third quarter tonnage guidance is slightly below what would be our normal average that we would expect. So I would generally say that while we think the economy is still a little bit sluggish, we still anticipate taking our normal market share. 
Todd Fowler: Okay, that's helpful. And then I would assume that in that environment of 7.5% to 8.5%, that your ability to drive productivity does not diminish versus when you've had a slightly higher growth rate, I mean, would it change at all? Would it become more productive? Less productive? Just any thoughts that you've got there on that. 
J. Frye: Well, Tom, just having that level of additional tonnage through the network is network density that leverages our fixed costs of our service center network, and it helps us improve our unit operating costs. So therefore, we will and should get some improvement in productivity as a result of that density improvement. But we had -- obviously, we continuously have things that we're doing to improve productivity and efficiency across the network in other ways. 
Operator: And we'll now go to Scott Group with Wolfe Trahan. 
Scott Group: So in terms of the tonnage deceleration, it still feels like you're seeing less of a deceleration than some of the other guys. So it feels like market share is actually reaccelerating a little bit this quarter. Can you give us a sense on -- do you think that is because of the lesser GRI? Do you think -- are you seeing some other guys struggle a little bit, and more customers coming to you? Maybe give us just a little color on why you think, maybe you're gaining a little bit more share? 
David Congdon: Well, Scott, it's a -- I think it's just a result of a real long-term focus on building the best value proposition in the LTL industry. And it's an -- our service level's at 99% on-time against industry-leading transit standards. Our low claim ratio, our high-billing accuracy ratio, just service in general, is winning market share. That's just the -- that's it. We're clearly differentiated in this space from a service, operations standpoint, a strategic standpoint, and for investors, from a financial standpoint. We're an outlier. 
Scott Group: So it sounds like more of the same. You're not seeing any of your competitors struggle any more than they've been struggling? 
David Congdon: Not really. 
J. Frye: I guess, Scott, you'll have to ask them if there's struggling. We don't know. I know that they're seeing improvement. And they're seeing improvement, I think it's because they realized that they've got to maintain and improve the pricing which becomes more and more obvious as you get this CapEx bubble, which we think that we've maintained our average age, but may be much of the LTL space has not. And to give them an appropriate return on that invested capital, you've got to get that return through better pricing and better yields. 
Scott Group: Okay. And then, David, I just wanted to talk about -- I think you mentioned something about adding 30 service centers over time, what's the timeframe for that? And does the pace of that slow, a little bit relative to initial thought just because of the macro uncertainty? And if there's any way to just give some color about the process for opening one of these up? And how long does it take, what are the startup costs, how quickly does the service center become profitable? Just any color about that would be great. 
David Congdon: Well, our historic opening of service centers has a lot hinged on just the availability of centers in cities that we had on our list to open up in the future. So the timing of the expansion of our network will hinge on real estate availability. But in a lot of cases, the service centers that are on our list would be cities that are being served on a long pedal run from another city. We might be driving 100 miles to get into the service area to make deliveries. But due to the fact that we're not there, in terms of having a service center, we don't necessarily capture as much of the share of the outbound market from that location. But normally, when we are opening up a service center and it is basically taking over this long pedal run where we might have had 3 or 4 trucks in the area, our cost of ramping up that center, and making it profitable and the timeframe is very short because we already have business in that area. We have just a handful of areas where we still use some agents to do pickup and delivery. And that's the same case. Where we might choose to open up the center and displace an agent, we already have revenue in that area and the cost of cranking them up is minimal. And I would also say that the small -- the service centers on our list are relatively small, and their impact or drain on the company is minimal for us. So that's -- does that explain it? 
Operator: And we'll now go to Chris Ceraso with Crédit Suisse. 
Patrick Geekie: This is Patrick Geekie on for Chris. A few questions for you. First one's a housekeeping one. What were the monthly pricing trends during the quarter? 
J. Frye: I'm sorry, say that again? 
Patrick Geekie: What were the pricing trends during the second quarter on a monthly basis? 
J. Frye: Hold on 1 second. I'm getting there. For the 4% overall, generally speaking... 
David Congdon: So go back. 
J. Frye: I've got it. Generally speaking, it was roughly 4.5% in April, 4.5% in May and 4% in June. 
Patrick Geekie: Okay. And then a comment that you made earlier about the Q3 guidance or the tonnage guidance coming in below which you would normally expect, do you think that it has anything to do with customers holding back, given what appears like a policy paralysis out of Washington right now? 
J. Frye: We don't know all the intrinsic reasons why the economy has slowed, but that could -- I'm sure that has some effect. 
Patrick Geekie: But do you think, once there's more certainty that could unlock more demand? Or is it beyond that? 
J. Frye: I think you need to ask your local economist that question. I'm not sure we're in the position to. 
Operator: We'll take the next question from Anthony Gallo with Wells Fargo. 
Anthony Gallo: So the question is -- facility-testing began to reach capacity with Chicago, as mentioned earlier. Just remind us of some of the things that you can do operationally to alleviate that, and then is there some margin degradation that takes place, and then has recovered once that capacity is released? 
David Congdon: Well, one of the things that we try to do operationally is -- and this has been our practice for years, is to open up satellite service centers in these large cities. But in the case of, say, Chicago, who may be totally full, and we can't do anything more. We might have to farm out some business to an agent to help deliver. We're not near that position at this point in time. We're picking up and delivering freight in that market with our trucks, and we're going to be fine in that market until such time that we get our new center built. 
Anthony Gallo: Okay. And then I have to ask this question. Earl, were there any disappointments in an otherwise remarkable quarter? 
Earl Congdon: If you're asking me, heck, no. 
Operator: We'll go to Justin Yagerman with Deutsche Bank. 
Justin Yagerman: The general rate increases you announced, 4.9% was a bit below the rest of your competitors', at least from a public standpoint. Can you talk us through the rationale of where that came in, relative to the competition, and how you see you guys positioning in the market from a pricing standpoint? 
J. Frye: We don't just come up with a number. We have a fairly exhaustive process of what we're looking at. We're looking at it in both lanes and looking at where we are, relative to competition on our general pricing, and we normally try to stay in the upper 25 percentile, not being the highest, and not certainly, not being the lowest. So it's not that we decide a percentage going in. We look at all the metrics and look at the lanes, et cetera, and see what would -- it takes to get a fair proposition, a fair price to make the investment. And that's just what it comes out to. 
Justin Yagerman: Sure. And that shows in the margin. And can you remind us what percentage of the business is covered by the GRI? 
J. Frye: Yes. Ours, the 559, which is our tariff, actually, it only covers about 26% of our business. 
Justin Yagerman: Okay. And when I think about the margin improvement that took place and where you guys are, relative to the rest of the industry, which is remarkably ahead, can you talk a bit about any of the technology that you're employing? In the past, we've seen things like dimensional scanners from you guys, as most of your competition doesn't employ, have you rolled that out to more facilities? Is that having an impact? Is there something else new that you're doing? I'm just trying to get a little more insight as the productivity leap seemed to be continuing? 
David Congdon: Justin, we've continued the rollout of those dimensional scanners and they're very helpful in the yield management processes. 
J. Frye: And we also are putting in a lot of new 28-foot pup trailers this year that have the loading racks in them, so that -- this should be a further improvement in our claims ratio, and also our laden load averages. 
Justin Yagerman: Fantastic. And just a point of clarification. The 5% to 6% number that you gave in terms of door increases, Wes, you said quarter-over-quarter, but is that Q2 versus Q1, or is that Q2 this year versus Q2 last year? 
J. Frye: Q2 this year versus Q2 last year. 
Operator: We'll go to Ben Hartford with Baird Capital. 
Benjamin Hartford: Now Wes, could you tell me -- could you give me a sense for how many of the shipments are being handled through agents today, and maybe compare it to a year ago? 
J. Frye: Actually, our purchased transportation in terms of cartage, what we call cartage, is probably less than 2/10 of 1%, not a lot. 
Benjamin Hartford: Okay. Good. And then also the mix of third-party broker trade handled this quarter versus a year ago, can we get that on the LTL side? 
J. Frye: Probably in the range of 30% to 35%. 
Benjamin Hartford: Both quarters? 
J. Frye: Yes. It was probably up slightly. 
Benjamin Hartford: It was. Okay. Any sense where that could go? Are you satisfied at these levels? Or could that number continue to move higher? 
J. Frye: Well, it's a fact of the matter that it is been moving higher and it has been moving higher for years. And we're comfortable with that. We treat them as any customer, both from a service standpoint and certainly, from a pricing standpoint. 
Benjamin Hartford: Okay, I guess, conceivably, it could get us -- could that number get the 40% of 50% of the total? Or is that unrealistic? 
David Congdon: That's hard to predict, Ben. 
Benjamin Hartford: Okay. That's fair. And then on the op supplies line, Wes, you talked about fuel. Obviously, that fuel prices did fall, but in terms of any irregularity this quarter, how should we think about that line in the back half of the year, maybe as a percent of revenue? 
J. Frye: I just want to clarify that the reduction in that line number, which, you don't see the fuel, but I gave you the fuel, specifically the fuel of that line number, in operating supplies and expense, most of that as you can imagine is fuel, and that did drop 150 basis points. But most of that drop wasn't due to the fact that the DOT prices dropped. Most of the drop was due to investments and processes that we have in place. And so obviously, we expect that to continue, in fact, improve. We continue see improvements in our miles per gallon. We continue to see improvements in how we go about purchasing fuel. And we still see improvements in our productivity. I mean, laden load average improvements and pick up stops per hour improvements, results in fewer miles, and therefore, results in fewer -- in less fuel expense. And we fully intend to continue to see improvements in those metrics. 
Benjamin Hartford: And typically, the sequential trend is up, 1Q to 2Q it was down, and obviously fuel did play a role, but I guess in terms of thinking about this $93 million, $94 million run rate this quarter, normalizing for fuel, I mean, it sounds like that number can continue to work lower. The question would be, sequentially, how do we think about it, just directionally, up or down? Or is it too difficult to predict? I'm just looking for a little bit of direction there. 
David Congdon: Well, the number that we can't predict is the overall cost of fuel. And we don't give guidance on the percentage of revenue for operating supplies and expenses. 
Benjamin Hartford: So I guess the conclusion is there's nothing irregular in this quarter's number and the number can continue to work lower, given some of the operational opportunities that you have. Is that right? Is that fair? 
David Congdon: I would say that our goal is to maintain and improve our operating efficiencies, and we're doing a very good job across-the-board with our efficiencies and there was nothing unusual in our efficiencies that drove that number to what you saw during the second quarter. So -- and our goal is to maintain those levels and continue to make incremental improvements in operating efficiencies. How much better can it get? It's hard to predict. 
Operator: And we'll go to Tom Albrecht with BB&T. 
Thomas Albrecht: I just had kind of an unusual follow-up question. Shippers do different things as they negotiate with you on rates, and one is to sometimes not answer the phone and be out of office for weeks on end. I'm just curious, between the time a contract expires and when you actually put in place the next year's pricing, I'm sure it's not exactly on the annual date. How much of a gap is there? Is it 2 months, 3 months? Have you ever tracked that between the renewal of the new pricing versus when the contract had ended? 
Earl Congdon: It's not as bad as it used to be. 
David Congdon: Yes. We used to have a delay tactic, a lot of delayed tactics, and we try to get ahead of the power curve with the contract negotiations and start the discussions several months in advance of the end of a contract, and we've been successful in minimizing those delays and trying to keep things on schedule. 
Thomas Albrecht: Would you say that the improvement is due more to shipper concerns that capacity is at equilibrium? Or maybe you went a tad short? Or is it more primarily because of your own initiatives. 
David Congdon: I think it's more our own initiatives that drive the whole contract renewal process, and just staying ahead of the power curve is more of our doing than the customers. 
Operator: And next this Jack Waldo with Stephens Incorporated. 
Jack Waldo: I have 2 questions. One is on your comment about the equipment age. Do you guys have an average age for the tractors or trailers? And has there been any change over the last couple of years? 
J. Frye: Jack, our equipment age, as our goals and the way we look at tractors and trailers and their age has not changed all that much over time. However, it did change a little bit as we went through the recession. We held back on replacement of our fleet a little bit. We also, during that period, were parking a lot of old trucks on the side of the fence so that we would have excess capacity in the event of a potential industry consolidation event, and that drove our average age of our fleet up. And trailers, we pretty much try to keep trailers in the 15- to 20-year range on our pup fleet, and our vans. In our non-sleeper tractors, the total life would be in the 10- to 12-year range, with the first 4 years in linehaul and they're remaining life in the pickup and delivery operation. Our sleeper tractors will run 4 years, 4 to 5 years, and a million miles, and so we try to turn them at that period of time. So overall, our average age of our linehaul fleet is around 3.4 years, and that's probably a little bit higher. We probably would be -- normally would be in the 2.8 to 2.9. And that's one reason why our CapEx for equipment this year is the $195 million to $210 million, is to getting that somewhat back to what we view as a more optimal age. 
Jack Waldo: Got you. And then, I was wondering just -- do you guys -- or could you -- of the 9% volume growth, do you have it broken down between regional, interregional or long-haul? Or if you don't look at it to edit that way, between mile classes? 
J. Frye: We don't look at that level of detail. 
Jack Waldo: Okay, so it's just in a big bucket? 
J. Frye: Well, we look at it. We just don't want to discuss it. 
Jack Waldo: Got you. Would you be willing to say that more growth came in a certain segment? 
J. Frye: Well, the fact in our -- that I'll just say this, the fact that our length of haul was down slightly and our shipment's growth in the regional was a little bit higher, would say that we had a fairly good growth in the next-day regional market, better than maybe the longer haul, but still both -- the margin of growth wasn't that spread. 
Operator: And that will conclude our question and answer session for today. I'd like to turn the conference back to Mr. Earl's Congdon for any additional or closing remarks. 
Earl Congdon: Well, as always, guys, thank you, all, for your participation. We appreciate your questions, with some very good ones. We appreciate your support of Old Dominion, and we welcome you to give you a free hand to give us a call later today, or thereafter, if you have any further questions. We look forward to speaking with you on the third quarter and hopefully we can deliver some more good numbers. Good day. 
Operator: Thank you very much, and that does conclude our conference for today.